Daniel Fairclough: Hi, good afternoon, and good morning, everybody. Welcome to ArcelorMittal's Third Quarter 2019 Analyst and Investor Call. This is Daniel Fairclough from the ArcelorMittal Investor Relations team, and I'm joined on this call today by Genuíno Christino, our Head of Finance. We're here to answer your questions on the third quarter results, which were published this morning alongside a Q&A document and the presentation with detailed speaker notes on our website. So today's call is scheduled to last up to 45 minutes. [Operator Instructions]. As an experiment this quarter, we'll ask you just to ask 1 question at a time. So if you ask 1 question, and then if you have a follow-up later, you can rejoin the queue. So before we begin the Q&A session today. I'd like to make a few remarks. I think it's clear that deteriorating steel market conditions have continued to weigh on the company's results in the third quarter. Demand in our core markets, Europe and the U.S. has remained weak, reflecting depressed manufacturing activity and continued weakness in automotive markets compounded, obviously, by further customer destocking. The current sales spread environment is both exceptional and unsustainable. Nevertheless, we must be disciplined in our active response to this exceptionally challenging environment. We do continue to look to moderate production in Europe. And we are on track to achieve the 4.2 million tonne annualized production curtailments in the second half. We're also actively managing the cash needs of the business, particularly CapEx to ensure that the business remains free cash flow positive without relying on working capital release. Regarding the developments, this week in Italy, as you'll be no doubt aware, on Monday, we sent a notice to Ilva's commissioners terminating our agreement. Our press release details the reasons behind this action, which includes the Italian Parliament's removal of legal protections that were critically necessary for the company to implement its environmental plan without risk of criminal liability. As per our agreement and notice letter, the commissioners must assume responsibility for Ilva's operations and its employees on or before December 4, 2019. In the interim, we're implementing a standby plan to ensure an orderly transfer to the extraordinary commissioners. Clearly, this is a legally sensitive topic, and our lawyers have requested that Genuíno and I do not comment further on these developments during today's call, which I'm sure you will both appreciate and respect. Looking forward, whilst there are some constructive signs, particularly the recently announced price increase in the U.S., steel industry fundamentals do remain in a fragile state. As such, we remain focused on delivering against our Action 2020 targets. The business is expected to generate healthy free cash flow this year and demonstrate progress in our efforts to further strengthen our balance sheet and towards improved shareholder returns. With that, we are now happy to take your questions.
A - Daniel Fairclough: And we will begin with the first question from Alain at Morgan Stanley, please.
Alain Gabriel: One question from my side is on the demand outlook for Europe. Do you see any inflection point on pricing? Do you see any tangible evidence that we are past the worst, in terms of pricing and spreads in Europe? This is in the context of automotive volumes starting to recover from very low levels. So any comments on the pricing dynamics in Europe would be very helpful.
Daniel Fairclough: Yes, thanks, Alain. I think I'd reference a couple of points. First of all, obviously, the demand environment throughout this year has been very weak, and we have seen sort of an ongoing deterioration, particularly in that automotive market. What we have seen, I think, in recent weeks is a stabilization, so no further deterioration, but rather a stabilization. I think, from our perspective, it's perhaps too early to talk about an inflection to the positive, but things have certainly stabilized. In terms of pricing, I think also you've seen in recent weeks, some stability in pricing in Europe. As I noted in those introductory remarks, the environment in Europe is exceptionally low, it's unsustainable. And I'm sure we will see the spread environment normalize. It's just a question of time. So we'll take the next question, please, from Jason at Bank of America.
Jason Fairclough: Yes. Dan, so just a quick question for you on CapEx. You're taking CapEx down? And I guess, my question is, to what extent is this being permanently removed versus, say, deferred for a future year. And ultimately, maybe creating a liability, which is, say, CapEx that should have been spent but wasn't. I guess, we've seen a pretty extreme example of that in the U.S. with one of the large steel players there?
Genuíno Christino: Okay. Jason, this is Genuíno, now let me take your question. So we are not at all cutting our maintenance CapEx, so that remains. So what we are cutting right now, these are discretionary CapEx projects, smaller projects across the board. We are not touching on the key projects, like the growth projects in Mexico. So we don't see that as something that we necessarily need to do. These are discretionary CapEx and something that we will consider going forward, to the extent that the market conditions improve. But we are not at all here creating any future liability for the operations.
Daniel Fairclough: So we'll take the next question from Luke at JPMorgan.
Luke Nelson: Can you give a sense as how much additional working capital has been built in Italy over the last year since the asset was transferred and whether or to what extent the $1.4 billion release in Q4 includes a release in that region?
Genuíno Christino: So, Luke, let me address the working capital, the release. So let me reiterate our guidance, what we have been saying since the beginning of the year is that we will release at least $1 billion, and that's basically the amount of overspent in 2018 that is coming back now in 2019. So that means that for quarter four, we should expect to see at least $1.4 billion in to take us to the $1 billion. Having said that, I think it's probably fair to assume that given how raw material prices are moving, there is some potential for some upside on this number. But I will stop there and let's see because, as you know, there are several moving parts here. So it's very difficult to precise where we're going to be finally landing at the end of the year. But minimum, the $1 billion we should see, the $1.4 billion in Q4, 1 year for the year -- $1 billion for the year and there is some potential for more release on that. And I'm not going to get into specifics on right Ilva now as following what you heard from Daniel earlier in this call.
Daniel Fairclough: So we'll move to the next question from Alain at ODDO.
Alain William: Can you hear me?
Daniel Fairclough: We can. Thanks.
Alain William: Yes. So I have two questions, 1 follow-up on Jason's question regarding the CapEx. Do you have early indication of 2020 CapEx? And I would say, my question really would be on -- you said you're making good progress on asset optimization initiatives. Could you give more color on this statement?
Genuíno Christino: So Alain, we will not get into the 2020 guidance, this is something that we will have for sure do next quarter. As you can see, I mean, given our guidance for full year of 3.5%, then you can see that the run rate of Q4 is going to be in the range of $750 million, and I'll stop there. And we will be updating you fully in Q4. Okay.
Daniel Fairclough: Yes. Thanks, Genuíno. And then just on the process of optimizing the asset portfolio. I think we've got no specific updates At this stage. I think what we can say is that we're -- the process is underway, it has positive momentum. We have several work streams underway several expressions of interest on assets that we've identified, and we will look forward in the coming quarters to be able to update you on that progress. Great. So we'll move to the next question, please, from Seth at Exane.
Seth Rosenfeld: Just with regards to the outlook for your cost base going into Q4 and perhaps early 2020. Obviously, your European volumes will be impacted by the 4.2 million tonne annualized reduction. It looks like other regions also tracking quite light. How should we expect that to impact your cost base has Mittal been able to adjust its fixed costs, in particular, in line with the capacity idling? Or is there some risk of more significant fixed cost under absorption potentially weighing on realized margins in the coming quarters?
Genuíno Christino: Thank you, Seth. I think it's quite clear, if you look at our results, and we have been -- and we are highlighting in our release. So you see fixed costs going down, particularly in Europe, there is a lot of efforts there, trying to offset some of the headwinds that we are facing. So making sure that we capture the attrition that we review over time that we revise our service agreements, contractors, a lot of focus on all those points. And I think we have been quite successful and we expect that to continue into Q4. So we don't expect that to -- the gains that we have captured in quarter three to reverse in quarter four. And that's where we are. So going forward, in quarter four, we will -- we expect to see costs is generally down because of just how the raw materials have been moving the basket so that is a positive for us in quarter four.
Daniel Fairclough: So we'll move to Carsten, please at Crédit Suisse.
Carsten Riek: In the absence of any Ilva questions, a question on mining on the mining operations, we saw in the third quarter quite a steep fall in the mining EBITDA. I understand that the volumes were down 1.5 million tonnes in iron ore. But I still struggle to reconcile the number. Could you help me a little bit on that, what is actually the fixed cost base here, do I look -- overlook anything on fixed cost, what other components other than the volumes played a role?
Genuíno Christino: Yes. Also, I think the main elements, I mean, you have the volumes, then of course, you have also the evolution of the freight costs, that impacts the NRPs, even though you don't see really a big change in the average prices quarter-on-quarter, but you have an impact on the NRPs because of freight. So you also have, of course, then the decline in coal prices that impacted our results as well. Then the evolution of the pellet premiums. As you know, Mines Canada sells a significant volume of pellets, so that has an impact on our performance as well. So those are the key major block points here. So the volumes, the premiums, coking coal prices and the freight.
Carsten Riek: The premium should have not touched you that quarter, at least not that severely, in my view, because usually, it's longer term. How much of the -- of the pellets you sell is on spot? And how much is actually on longer-term contracts?
Genuíno Christino: So most of our pellets are being sold on a quarterly basis, and most of our pellet goes also to the group, Carsten.
Daniel Fairclough: So we'll move to Alan, at Jefferies, please.
Alan Spence: You provided some interesting profitability metrics in the presentation, namely the $38 per tonne achieved in Europe, excluding Ilva. Would your comment that raw material cost should be moving lower into Q4 in Europe. Let's call it an unknown for the Ilva impact in Q4. Do you think you can achieve a similar level for your European operations of $38 per tonne EBITDA on Q4, somewhere around that?
Genuíno Christino: Alan, we're not going to be giving a specific guidance on Q4. I think we're just trying to help you with the major factors. So cost is an element here that we know that should go down because just how the basket is evolving and has been evolving recently. So you -- on the other side, you know how prices in Europe have also evolved. And then, I guess, the missing block here -- then in shipments and shipments -- our guidance is for, on a reported basis, our shipments should be up for full year, year-on-year. On adjusted basis for scope change, then we are saying you have in our release, we expect shipments to be stable. But on a reported basis, it should be up for full year '19 versus '18. So I hope that helps you with your modeling for quarter four.
Alan Spence: If I can try to push you a little bit, I'm speaking just to Europe for Q4. If -- I mean, kind of the reported number in Q3 is significantly lower than what you kind of provided excluding Ilva. Do you think your reported number for Q4 could, let's just say, somewhat track around that $38 per tonne number. I know you're not going to give you an exact number, but if you think that can could be achievable?
Genuíno Christino: Well, I'm not going to get into the specific numbers for Q4 for Europe, Alan. We don't give this level of granularity in guidance.
Daniel Fairclough: Great. So we'll move to Phil at KeyBanc.
Philip Gibbs: Certainly, iron ore, particularly the pellet piece has moved down, coking coal has moved down, scrap has moved down. So if we just sort of take that last part of the quarter nearing the lows of when those things reset, how much of that drop have we realized on in aggregate in the business versus what we're going to see moving forward just in terms of a high level? Because if I look at a segment like Brazil, the spreads were a lot more resilient there than I would have thought, even a little bit in Europe. And so I know that there was also some true-ups in the pellet premium. So just trying to understand, so we don't overestimate the impact of these things moving forward.
Daniel Fairclough: Yes. So I think just -- obviously, we've talked a lot in the past about the lags of raw material costs and how quickly or how slowly they can hit the cost of goods sold and the income statement. The model that we've consistently talked about in the past is -- in Europe, where we assume 35% of current quarter raw material purchases hit that quarter's cost of goods sold. 25% goes into the next quarter, 15% into the quarter after that, and then the remainder after -- the quarter after that. So the bulk of it hits the cost of goods sold within 2 quarters. But it takes a full 4 quarters before you see the full impact of a change in the raw material costs absolutely fully translated into cost of goods sold. That's the model for Europe, which you should assume for Brazil because we have a shorter supply chain. We don't have to carry quite as much inventory. And so the -- it does tend to translate a little bit faster, but that's a good model for Europe. And then in terms of revenue, obviously, you should be aware, just of the typical fluctuations in lead times and also factor in our contract business. So hopefully, that gives you the elements that you need. And if you would like, we can follow-up in more detail after the call. Thanks, Phil. So we'll take the next question from Myles at UBS.
Myles Allsop: Great. Just on curtailments. This 4.2 million tonnes annualized curtailments in the second half. I mean, what was the actual run rate during the third quarter? And I assume we're going to be at the full 4.2 million during the fourth quarter? And then thinking into 2020, are you likely to extend these curtailments if demand remains weak or even kind of take more aggressive action, is that on the cards potentially if we don't really see much of a meaningful improvement in demand next year?
Genuíno Christino: Yes. So you have in our presentation one slide showing the evolution of our shipments. So we are down on a comparable basis in Europe by about 4%. And you should expect an acceleration of the curtailments in quarter four. So we are on track to achieve the 4.2 million tonnes run rate in the second half. To the second part of your question, whether we will consider to extending that, I think we're going to be, of course, monitoring the market conditions and taking a call on a quarterly basis going forward.
Daniel Fairclough: So we'll move to Rochus at Kepler, please.
Rochus Brauneiser: Based on what you said on the moving parts on the cash flow generation. Shall we consider any decrease sequentially in terms of net debt by the end of the year, taking into account that you're closing Essar by then? And could you remind us what the residual cash out will be for Essar in terms of equity contribution and the hedging effect?
Genuíno Christino: Yes, Rochus, on your -- the impact will be about $900 million. So you have $700 million additional equity contribution to the JV plus roughly $200 million of the hedging that goes as well. I believe you have all the components or the major blocks to come up with your estimates for net debt, so we are not giving a guidance. But I think at this point, it should be clear that the company will be deleveraging. So you have the cash needs, the $5 billion. You have your assumption in terms of EBITDA. You have the working capital component, and then you have the M&A. So I believe you have all the elements, and that should give you comfort that -- for the year, we're going to be deleveraging further despite the challenging market conditions that we have been facing in 2019.
Daniel Fairclough: Super. So we'll move to Bastian at Deutsche Bank.
Bastian Synagowitz: My question is on the volumes, which you're cutting in the European business, when you announced these production cuts, you said that these ones would be having negative contribution margins. And this is what we can see in your better European numbers as well. So, is there any color you could give us on whether the volume weighted contribution margins of the additional tonnes you are now cutting in the fourth quarter is going to be negative as well? And if so, are we talking rather a level of $50, $100 or even higher here?
Genuíno Christino: I think this is a little bit too specific. As I said, I don't want to be providing specific guidance for quarter four. But clearly, as we are cutting this production, that's because we are not making money. So I hope that helps.
Bastian Synagowitz: Okay. So basically, at least you're confirming that these tonnes you're taking out that basically will -- that they are having a negative contribution margin. That is what you can confirm?
Genuíno Christino: I think that is a fair assumption. Yes.
Bastian Synagowitz: Okay, good. And then just as a quick follow-up to just your statements on costs. So you said that beyond that, you obviously taking out some fixed cost. Could you just across the group, just quantify or give us a rough idea, like how much fixed cost you're aiming to take out. Of course, we can all do the math on the, I think, spot market businesses. But on your fixed costs, which you're tackling, can you just give us a rough number, how much you plan to take out in the fourth quarter? And is there any framework for 2020 at this stage on your target for fixed cost reduction?
Genuíno Christino: Well, I guess, this is happening across the group. And so I'm not going to be giving a specific number for quarter four. This is -- I can only tell you that in such market conditions, the whole organization is geared to try to reduce the cost base as much as possible. So the benefits that we have in quarter three, and that is visible in Europe and in other parts of the group, our expectation is that it remains. That is not going to reverse in quarter four. And of course, we're going to be looking for ways to maximize the gains going forward. And then I'm sure we're going to be able to update you more in quarter four on future plans for 2020.
Daniel Fairclough: Great. So we'll move to Christian at SocGen.
Christian Georges: Just a quick check. When you're saying you're going to be deleveraging for the year. I assume you're excluding the IFRS 16 impact, that's just excluding all that?
Genuíno Christino: Well, that is part of the equation. So you have your opening -- a position, you add IFRS and then we should be lower than that.
Christian Georges: Okay. And otherwise, in Brazil, you've been able to increase your sales of in the domestic market in the third quarter. I mean, is this something you're seeing continuing in fourth quarter, increasing domestic quantities to exports?
Genuíno Christino: Well, this is -- I suppose you are asking about Brazil?
Christian Georges: Brazil, yes.
Genuíno Christino: So in Brazil, so quarter three is typically it is a quarter where you see this -- there is some seasonality. For full year, we expect to grow our shipments domestically marginally in line with the apparent steel consumption that you have, which is in the range of 1% for this year. So we are not really looking at a significant increase, but in line with the apparent steel consumption in Brazil. Okay, great.
Christian Georges: And the last thing is in mining in Canada, all the issues on the iron ore, is that normalized for fourth quarter? Are we assuming a normal shipment environment?
Genuíno Christino: Yes. So the concentrator is operating now and as per -- normally. And we are our reiterating guidance. So the marketable tonnes should be stable year-on-year.
Daniel Fairclough: So we'll move to some follow-up questions. The first coming from Alain at Morgan Stanley.
Alain Gabriel: Just a follow-up question, and I appreciate you cannot address the legalities at Ilva. But if you refer to Slide 12, which addresses your cash needs, can you give us an indication how the pro forma cash needs would have looked like without Ilva in 2019, for example?
Genuíno Christino: I don't know if we want to get into this level of details right now, Alain, sorry for that.
Daniel Fairclough: Then back to Alan at Jefferies.
Alan Spence: On the hot strip mill project in Mexico. You previously guided to a potential $250 million contribution in EBITDA. How much stronger the market environment does that assume to get to that number? And also, can you just remind us roughly when next year, it's expected to finish? Should we expect much of a contribution next year? Or would it really be 2021?
Genuíno Christino: Yes. So our plan, our forecast is to finish next year. And then, of course, we start with -- you have the ramp-up. I think you will see some contribution, of course, or starting in more in the second half of 2021 and then fully in 2022, '23. And then the incentive of the project is really here is to use the slabs that we produced and that we are today exporting, or selling domestically and convert that into an added value products. So I think that today, the project remains attractive. So we look at even a revised assumptions, the IRR of the project remains quite attractive in these conditions, given that we have iron ore and we have the -- the facilities are there. So converting to HRC in a market that is basically importing a large part of its needs will always make sense for us.
Alan Spence: I won't ask you to give me the exact IRR, but could you tell me what your company policy is for an investment hurdle of IRR.
Genuíno Christino: Yes, so our policy, our hurdle rate is 15%.
Daniel Fairclough: So we'll go back to Myles at UBS.
Myles Allsop: Just a couple of follow-ups. One was just on my original question on the curtailment I mean, how quickly, in theory, could you turn this 4.2 million tonnes back on? Is it almost immediately? Or would there be a lag, whatever. But then the main follow-up question on Liberia. Could you give us an update where we are with the -- I think the feasibility study is done now. Could you give us a sense of timeline, where the returns actually look attractive at current iron ore prices and whether you're thinking about partners for that expansion?
Genuíno Christino: So Myles. So on the 4.2 million tonnes, so the answer is -- so once we see the markets back, it's something that we can bring back quite quickly. Some of the cuts, as you know, we are just moderating production, so then it would just be a matter of putting full charge in the blast furnaces that would be easy. And then, of course, some of the cuts are linked to re-lines. So -- and then it's just a matter of completing the re-lines. So we should be able to should be back to production very quickly once we see demand for that. On Liberia, do you want to address, Daniel?
Daniel Fairclough: Thanks, Genuíno. Yes, sure. On the Liberia project, you're absolutely right. We have completed the DFS, the Definitive Feasibility Study. And what we're doing now is just some final detailed engineering works. So those are underway in the current quarter. So what we're looking to do is finalize the investment case. And then the plan is to present that to funding, or for funding in the early part of 2020. So it is a very strong project. It's attractive. It's going to be a high-quality product. So clearly, in the current iron ore price environment, the returns potential is very high. But even at our long term assumptions. We think that this will be a very attractive opportunity for us.
Myles Allsop: Right. And how much -- just how much capacity does the rail have in Liberia? If we -- some of your neighbors wanted to use them? Yes.
Daniel Fairclough: So we have 15 million tonnes of annual capacity, 5 million to 15 million.
Myles Allsop: Will need upgrading?
Daniel Fairclough: 5 million to 15 million tonnes of capacity. Okay. So then we'll go back to Rochus at Kepler.
Rochus Brauneiser: The one is on the production cuts in Europe. Can you remind us which of the blast furnaces in Europe are currently idled. I recall Bremen, at least, and I think Krakow now. I'm not sure which one I missed. The other point is more for housekeeping reasons, what I -- what came to my attention is that in the third quarter, the Arcelor's consolidation line for shipments was abnormally low, maybe 25% of the usual size. Can you explain what was behind that? And is that fully back to normal in Q4?
Genuíno Christino: Rochus, let me touch on the first -- your first part of the question, I'm not sure that I understood your second question. But on the assets in Europe, so I guess, what we would like to confirm to you is that we are on track to achieve the 4.2 million tonnes, but we don't want to get into the specifics, the name of the assets at this point. But there is some sensitivity to it. So -- but we are on track to the 4.2 million tonnes.
Rochus Brauneiser: Okay. On the shipment, on reported shipment breakdown, you have this eliminations line, yes. And that is usually much larger than it was in the quarter, it was just 176,000 tonnes, 700,000, 800,000 tonnes in -- so I'm not sure I understood what kind of internal shipments were so much lower at this time? And was it just a 1 quarter phenomenon?
Genuíno Christino: Yes, just one quarter, there is not so much change actually going forward.
Rochus Brauneiser: Okay. Maybe on mining, what has comes across is that it's another quarter where you had operational issues in Canada, now we see electrics. Is there a pattern? Because we have seen some issues repeatedly before. Is there anything being change adopted in Canada going forward, maybe on the CapEx side, from the outside, very hard to see where these issues are coming from.
Genuíno Christino: Well, I think -- I mean, you're right that we had some issues also last year, but there were more geological issues. The issues are quite different in nature. And given the size of the operation, I think it's kind of from time to time, unfortunately, we're going to experience something like that.
Rochus Brauneiser: So no need higher CapEx going forward?
Genuíno Christino: No, I don't think that this is a CapEx issue. It's really just the equipments will fail from time to time. But it's not really a matter of -- lack of CapEx or maintenance CapEx in this case.
Daniel Fairclough: So we'll move to another follow-up from Phil at KeyBanc.
Philip Gibbs: I know the topic of the last call certainly was just the import surge into Europe, particularly from Turkey. And I know that there was some discussions with the EU regulatory bodies, whether or not we were going to tighten up some of those quotas and restrictions. Just curious from your perspective, have those flows slowed to a degree that you all are comfortable with? Has Turkey's presence, particularly taken a step back, just maybe some thoughts around that, just given the fact that I know on the last call was such a major issue.
Daniel Fairclough: Yes, thanks. It was a particularly topical issue last quarter as we awaited the outcome of the review of the efficacy of the safeguards. Obviously, the conclusion of that review was that the relaxation, the planned relaxation of 5% was reduced back to 3%, which okay, that's better than what it would have been. However, given our updated forecast today of demand contracting by up to 3% this year, it doesn't seem logical that imports should be allowed to increase by 3% relative to that. It's clearly just leading to imports having a higher market share. I think the import trends have not necessarily improved. I think we saw a sharp rebound of imports in September. So it remains something that we have to be very, very focused on and very vigilant on because I think what's currently in place in Europe has not necessarily had an effective protection of the European steel industry from uncompetitive imports. And the other thing, obviously, that we've been talking about on previous calls is the border adjustment tax, the green border adjustment tax. And I think we continue to have positive momentum there. It's something that we've been talking a lot about. We've been very vocal advocate of the need for a level playing field, a vocal advocate for a need that imports of steel into Europe should face the same cost of carbon that domestically produced steel faces. I think we've got good news there. There is momentum, as I referred to the President-Elect of the European Commission Ursula von der Leyen, hasn't announced her intention to include a border adjustment in the upcoming Commission's Green Deal. So I think we look forward to being updated on the progress of that important topic. And then we'll move back to Alan at Jefferies.
Alan Spence: You provided the raw material adds for Europe and Brazil. Can you just give us a sense how quickly the fall in the pellet premium should or how quickly it'll benefit the NAFTA steel cost base? And just a reminder of how much of those Canada volumes are sold into NAFTA, please.
Genuíno Christino: Yes. So the Canada volumes -- Mines Canada is selling about 10 million tonnes of pellets per year. And then in NAFTA, in U.S., as you know, we have our supply agreement. So a large part of our needs. And then we have our own supply, Hibbing; Minorca that is captive. That is, of course, translate costs, so there is no impact there.
Alan Spence: Will we see that benefiting Q4 on the P&L?
Genuíno Christino: So in Q4, so our supply agreement in NAFTA, it's an average price for the year, and it moves according to the indexes. So yes, there should be some benefit flowing also in quarter four.
Daniel Fairclough: So we'll move back, I think, for our final question from, a follow-up from Christian at SocGen.
Christian Georges: Just a quick one. The $40 million positive contribution on EBITDA from -- also on elimination in the third quarter, what's the main factor that makes that number positive and what should we expect roughly for the fourth quarter?
Genuíno Christino: Yes, Christian. So I think it's important to see that quarter two was exceptionally higher. And the reason for that is just the high stock margin elimination following the increase in iron ore prices in quarter two. So in quarter three, so you don't have that negative impact. And on top, as we discussed, the supply of pellets intra group, given the lower premiums. So then you have a release of the stock -- reduction of the stock margin elimination, so that's the bridge. So a negative impact -- a higher negative impact in quarter two and then some release in quarter three. That's why you have this delta. And then going forward, we're not going to provide guidance -- a specific guidance, but to the extent that your assumption is that I don't know prices will go down, then you should see some release. But don't forget that we have our recurrent expenses as well, which is in the range of $40 million to $50 million for all the head office costs and other costs.
Daniel Fairclough: Great. Well, thank you, everybody. So we'll draw the call to an end. I think the experiment worked well this quarter. And so thanks very much for everybody for limiting your questions and going through that process, which I think worked well. So I'm sure we will see many of you in the coming days and weeks. And obviously, we will have our fourth quarter results in early February. So thanks very much, and speak to you all soon.